Operator: Welcome to the Jet Blue Airways Corporation first quarter 2008 earnings conference call. Today’s call is being recorded. We have on the call today Dave Barger, Jet Blue CEO and Ed Barnes, Jet Blue CFO. As a reminder this morning’s call include forward-looking statements about future events. Actual results may differ from those expressed in forward looking statements due to many factors and therefore investors should not place undue reliance on these statements. For additional information please refer to the company’s periodic filings with the Securities & Exchange Commission. At this time I would like to turn the call over to Dave Barger. Please go ahead sir.
Dave Barger: Thank you Natasha. Good morning everyone and thank you all for joining us today. In the first quarter Jet Blue had an operating margin of 2.2% resulting in a net loss of $8 million or $0.4 per diluted share. This loss was driven primarily by the unprecedented spike in fuel which cost us an additional $180 million compared to the first quarter of 2007. I am pleased however to note that apart from fuel we maintained our low cost disciplines throughout the quarter as our ex –fuel CASM was slightly over the year. Additionally unit revenues continued to show impressive growth. First quarter revenue performance exceeded our expectations and the guidance we provided you in January. Passenger revenue prevail able seat miles or PRASM grew 16.5 % year-over-year and RASM also gained almost 18%. This first quarter PRASM increase was driven by a 20% increase in yield. Fortunately the holidays reasonably spaced throughout the quarter were strong demand clustered around the President Day and Easter holidays. This helped increase our average fare $25 to about $135 and that’s a 22% increase over first quarter 2007. To be fair, revenue comparisons are helped by the extraordinary revenue impact of last years’ ice storm, but even normalizing for this event we had a very strong revenue performance. The demand momentum that began during the December 2007 holiday period continued throughout the entire quarter across all of our markets. We are particularly pleased with our strong revenue performance in March. A 13% year-over-year increase in PRASM driven by a 17% increase in yield. Jet Blues’ average fare during the month of March was $138 our highest monthly average fare average ever. We also continued to benefit from reduced industry capacity which was basically flat in all of our markets on a year-over-year basis. Additionally we continue to benefit from the maturation of new markets as it becomes a smaller percentage of our overall network. I am also pleased that our revenue outlook for the second quarter is quite positive. Demand as reflected in our forward booking curve remains healthy. Although we are certainly mindful of the potential risk of an economic downtrend, a slow, slowdown that we are all seeing in the news. April year-over-year comparisons will of course be impacted by the shift of the Easter holiday to March. While we did see some softness for the first half of April, bookings for the Passover holiday and the spring break travel period continue to look strong. May is traditionally a trough travel period but we expect demand momentum to pick up at the end of the month while still early booking for the summer period, summer travel period look strong. We expect our year over year PRASM growth for the second quarter will be between 85 and 10%. For the full year projected PRASM growth will be up between 125 and 14% and as we mentioned on our last earnings call we have shifted a significant amount of our focus to increasing ancillary revenues throughout the year. It helped to measure our progress and we have decided to begin providing RASM guidance as well. As such we expect RASM to increase 12% to 14% during the second quarter and 16% to 18% for the full year. While we are very pleased with these revenue results revenue gains are clearly not keeping pace with the extraordinary increase in the price of jet fuel. The price of oil seems to set new records every few days not including the refining premium which is now north of $30 per barrel. Every $0.01 increase in the cost of Jet Blue’s fuel equates to a $5 million increase in annualized expense and since our earnings call just one year ago, fuel expense as a percentage of our operating expenses has increased from about 30% to almost 40%. It’s difficult to effectively convey the magnitude of the impact of this increase. So just look at the impact of fuel cost in terms of one flight. For example, one of our A320s flying between JFK and Long Beach which consumes approximately 5,000 gallons of fuel. One year ago, that trip required about $9,600 of jet fuel. Today, the same trip requires over $15,000 in jet fuel. Unfortunately, not even continued positive revenue performance can keep pace with this 60% increase. In the face of escalating fuel, competitive dynamics, and a potential weaker economy Jet Blue’s continued financial strength is paramount. We believe it’s essential to take a more finically conservative approach to managing our business. Fortunately, we have a solid cash balance with over $700 million in cash excluding the $313 million in auction-rate securities which are currently classified to long-term investments. Ed will discuss our liquidity in more detail in his remarks, but I would like to emphasize we are keenly focused on cash preservation while we continue to focus on cost discipline, measured growth, and revenue enhancements. The Jet Blue team will not rely on the hope that fuel prices decline or that the economy will improve or even that our competitors will reduce their capacity. We are mindful of our duties to our stakeholders, crew members, customers, and shareholders to face the reality of the current cost of energy and act prudently. To that end, let me describe four key actions that we are taking at this time. First, with respect to capacity reduction in 2008; as many of you have seen by now in today’s press release, we have reduced our estimated 2008 growth range from 5% to 8% to currently 3% to 5%. Most of this 2008 growth is driven by the run rate of aircraft which were added to the fleet in 2007. We would grow at 4% even if we were to take new aircraft deliveries in 2008. This 3% to 5% growth range therefore represents a significant year-over-year capacity reduction. Now let me take a moment to walk you through our plan to reduce this capacity. As previously announced, we have entered into agreements to sell nine used airbus A320s this year, two of which were delivered within the past several weeks. In addition, we are more aggressively managing capacity through aircraft gauge adjustments and utilization reductions, particularly during trough periods. High aircraft utilization has been a key component of our business model since we began service in 2000 and we have the highest aircraft utilization rates among domestic carries in the United States at almost 13 hours per day. For this reason, we have the ability to reduce our utilization while still maintaining relatively high utilization across the aircraft fleet. We anticipate lowering our average utilization by approximately half an hour per day in the fourth quarter. In other words, if it does not make economic sense to fly more hours per day, we will not do it. We are also making capacity adjustments with a focus on mid-week and marginal red eye capacity in selected Transcon and Florida markets. As a result of these changes, our capacity growth in the fourth quarter will be roughly 5% less than what we had planned at the beginning of the year and compared to the fourth quarter of 2007, our fourth quarter capacity will be down 2.8%. This negative growth in the fourth quarter is the first in Jet Blue’s history reflecting our focus on cash and commitment to grow responsibly in this environment. This fuel environment also forces us to constantly retest and revisit the assumptions and performance of every market, route, and city. We have had to reexamine whether certain markets we entered into against a different backdrop makes economic sense today. This ongoing analysis led us to make the decision to suspend service of Tucson, Arizona effective May 12. As I have said in the past, every aircraft has to earn its way into the route network and we will continue to make network adjustments as appropriate to ensure our aircrafts are deployed in a profitable manner. The second item I would like to discuss is capacity reductions beyond 2008. If the right opportunities become available we may sell more aircraft in 2009 and 2010 to help further moderate our growth. Since we began selling older aircraft from our fleet in 2006, we have announced 18 aircraft sales which have or we expect will generate $200 million in cash proceeds after paying off debt related to these aircrafts. In addition, we are considering additional deferrals beyond the 72 deferrals we have already announced. The third item is ex-fuel cost control. We have recognized that past aero plane capacity cuts and pressure unit cost in the near term as it takes time to extract related cost from the system. We estimate that our ex-fuel CASM will increase between 6% to 8% from the full year. This increase is not acceptable for the long term and we intend to continue to work hard to reduce our cost. We are still working through many of the details associated with our capacity reductions at this time as we look through the end of 2008. As a first step towards lowering our non-fuel cost, our higher increase for all management and support staff has been implemented. In addition, we have highlighted our focus on all discretionary spending. Of course, we will continue to invest in our future in areas such as IT, Information Technology, but we plan to reduce our non-aircraft capital expenditures for the full year and Ed will discuss this in more detail. We believe this action is prudent given the current environment. And the fourth item is increased ancillary revenue focus across our airline. As I have mentioned earlier, we will continue to work to diversify our product and drive ancillary revenue. We are mindful that ancillary revenues will never be a panacea but certainly believe that significant opportunities exist offset some of the impact of rise in fuel. As part of our efforts to tailor our products and services around what our customers value most and are willing to pay for, today we announced the new checked bag policy. Customers checking a second bag will be charged a $20 service feet beginning June 1 for customers who purchase seats on Jet Blue on or after May 1. Our customer research shows that less than 25% of our customers check a second bag and with this new policy, we will be able to offset some of the extra fuel required to transport the way the other baggage which will help us to maintain our competitive fares for all of our customers. We estimate this change will generate more than $20 million this year in new revenue over a period of six months. In addition, we plan to increase several other service fees which we expect will drive additional revenue. I would like to take a moment to highlight our philosophy on fees. Our goal is not to be competitively disadvantaged. However, at the same time, we do not want to ‘nickel and dime’ our customers. This is not consistent with our brand or our relationship with our customers. We strive to strike a balance. Our award winning brand is a tremendous asset and plays a central role in every decision we make. Jet Blue’s crew members continue to be recognized for the exceptional customer service they deliver. This past quarter, Jet Blue was ranked top airline and 7th overall across all industries in Business Week magazine’s list of "Customer Service Champs", a ranking of the best providers of customer service. We are truly honored to be on the same company has Ritz-Carlton, Lexus, and the Paramount Hotel Group. This reorganization is a testament to our dedicated crew members who continue to do an outstanding job in delivering the Jet Blue experience everyday, every flight. We will also consider the impact to crew members with every decision we make. Our direct relationship with our crew members is extremely important and we will do everything we can to protect and improve our culture across the airline. As a company, we understand the severity of the challenges facing the industry. We are working hard to weather these difficult times and position ourselves so that we can take advantage of the opportunities that lie ahead. Before closing, I would like to provide a brief update on three exciting opportunities. First of all terminal 5 at JFK. We are very excited to open our new home at JFK’s terminal 5 later this year, ahead of schedule and on budget. Terminal 5 will be the first domestic terminal to open that has been designed post 9/11 and we look forward to providing both our customers and our crew members with a significantly improved experience. We have a unique position in New York as JFK’s largest domestic carrier. We will continue to explore opportunities to link our network with other airlines at Kennedy and other focus cities across our network. The second item is Aer Lingus. Our partnership with Aer Lingus which enables customers to book a single low fair reservation between Ireland to more than 25 Continental US destinations just went live a few weeks ago. It’s still early obviously but we are pleased with what we are seeing so far. We are also continuing to work diligently with Lufthansa and we hope to be able to announce something by the end of the year with this commercial relationship. And finally a word regarding LiveTV. I would like to briefly discuss our wholly owned subsidiary, LiveTV. On our last earnings call, we announced LiveTV’s new contract with Continental Airlines and we will continue to look for opportunities to profitably grow LiveTV. We are considering a range of strategic alternatives for the business and we have retained a financial advisor at this time to help evaluate strategic options for LiveTV. It may be a few quarters until we have prioritized our options. In closing, all airlines by the nature of this business are particularly susceptible to changes in fuel, GDP, and a host of other external forces. I believe however Jet Blue is well positioned with a strong route network, a flexible fleet order book, solid liquidity, the best crew members in the industry, and a management team that understands and has and will continue to respond to the challenges that lie ahead. We will continue to make decisions for the long-term success of Jet Blue. We are just being smart about it at the same time. I want to thank our crew members and shareholders for their support and continued confidence in our ability to execute during this challenging time. And with that, it’s my pleasure to turn it over to Ed Barnes for a more detailed review of our financial performance during the quarter.
Ed Barnes:  Thanks Dave. Good morning everyone. As Dave mentioned, we are pleased with our strong revenue performance and cost discipline during the quarter. Despite higher than expected fuel which was $0.15 per gallon higher than our issued guidance, we beat or met all of our guidance ranges with the exception of CASM. Accordingly, we believe we are well positioned to weather these difficult times with strong financial discipline and solid cash position. We ended the quarter with $713 million in cash and cash equivalents. This cash balance excludes $313 million in student loan related auction-rate securities. Consistent with other carriers, we have reclassified these securities as long-term investments during the quarter. As we disclosed in our 10-K, our auction-rate securities are collateralized by student loans and guaranteed by the United States government. Auctions for these securities began to fail in mid-February due to overall market liquidity, not due to defaults or the underlying collateral. Our investments in these securities are now earning higher interest rates due to their failure at auction. We believe with these higher rates, insurers are intended to find alternatives and refinance. Although we have classified these securities as long-term investments, we expect with regard to the majority of these investments that within the next 12 months a secondary market will develop that insurers will call the securities or liquidity will return to the market. In fact, we have had approximately $6 million of our securities called at par by insurers since late February. Even excluding these auction-rate securities, our current cash represents about 25% of our trailing 12 months revenue, amongst the highest liquidity coverage ratios of the major carriers. However, we believe that preserving liquidity is prudent in the current environment. Let me take a moment to walk you through some of the key features of our liquidity drivers. Our aircraft sales program has provided a steady source of liquidity. We have announced 18 sales since the fall of 2006. In 2008, we will generate cash proceeds of about $300 million from the sale of nine aircraft and we will pay down about $200 million in debt, resulting in $100 million of positive cash flow. Our aircraft sales also retire higher priced floating rate debt, lower maintenance cost, and help keep our fleet young and efficient. In addition, each sale has historically netted a P&L gain of roughly $2 million. We have debt financing agreements in place for all of our 2008 aircraft deliveries. Due to favorable pricing and financing terms, minimal cash is required for these deliveries. Therefore, our 2008 aircraft deliveries will not materially impact our cash position. As a result of our strong cash position, we do not have any financial covenants in any of our agreements. In addition, we believe we have a very solid relationship with our credit card processors providing them with monthly financial statements and transparency regarding our liquidity. As a result, we currently do not have any material holdbacks in place. As Dave highlighted, we intend to continue to aggressively manage our growth plans depending on changing economic factors which we believe will improve cash flow. In addition, we believe we have various levers we can pull to help better enhance our cash position. For example, additional aircraft sales or deferrals, further network adjustments, and possibly the sale/leaseback of our own aircraft. We believe our current cash position is more than adequate to address our current obligations including the assumed quote of $175 million convert in July. We expect to end the year with cash in excess of our target of 20% to 25 % of trailing 12 months’ revenue. Obviously our goal in this environment is cash preservation and we are committed to striving to maintain sufficient liquidity to withstand an extended economic or industry downturn. Let’s us now turn to a more detailed look at the first quarter results. Our cost per available seat mile excluding fuel was flat compared to the first quarter of 2007. The solid cost performance during the quarter would not have been possible without the dedication of our 12,000 plus crew members and I would like to thank them for all of their effort and hard work. Looking at a few lines from the income statement; salaries, wages, and benefits decreased about 5% year-over-year on a unit cost basis. This decline was primarily driven by less overtime pay this past quarter comparative pay required in connection with last years ice storm. Fuel continues to be our largest operating expense during the first quarter our fuel costs were up a staggering 40% year-over-year on a unit cost basis. Our average fuel price for the quarter net of hedges was $2.65 a gallon which was about $0.15 higher than we had forecast reflecting the volatility in the market place.  We hedged approximately 35% of our fuel consumption during the quarter. We had no out of period hedging gains in Q1. We continue to work to improve our fuel efficiency with an average age of approximately 3 years; Jet Blue operates one of the youngest more fuel efficient pleads in the industry. With today’s fuel prices we need to be even more focused on fuel efficiency in our operations. Fortunately we continue to benefit from our crew member led fuel conservation initiatives including single engine taxi and rapid deployment of ground power units on our airport gates. In addition we continue to take a disciplined approach to fuel hedging with a goal of being hedged 50 % of our estimated volume at the start of a quarter, 30% hedged one quarter out, 20% two quarters out and 10% three quarters out. Our maintenance expense increased about 13% on a unit cost basis during the first quarter due mainly to the gradual aging of our fleet. Sales and marketing expense increase 17% on a unit cost basis due primarily to global distribution system commissions and computer reservation service fees as well as higher advertising spending compare to last year which was impacted by the February storm. In the first quarter of this year we generated almost 7% of our revenues from the GDS’s and about 5% from the OTAs representing a significant increase over 2007. In addition we continue to be pleased with the revenue we generate from the global distribution system which more than offsets the increase in expense. Looking ahead of the second quarter and full year, we have detailed guidance available in our investor update filed as in 8K and posted on our website later today, however, let me take a moment to share a few of the highlights. On the capacity front we now expect our ASM’s to grow 3% to 5% in the second quarter and 3% to 5% for the full year. For the full year we anticipate taking delivery of 12 new A320s and 6 UN90s. Assuming the 9 A320 sales we previously announced we expect at the end of the year to end the year with 107 A320s and 37 UN90s. With regard to price then we expect to reap the revenue benefit of our slower growth as well as more disciplined industry capacity. We expect passenger revenue, prevail able seat mile to increase between 8% and 10% in the second quarter and 12% and 14% for the full year. We also expect our height and focused on insular revenues to help increase (inaudible), 12% to 14% in the second quarter and 16% to 18% for the full year. The guidance we provided in January is based on the assumption that our other revenues would increase 60% on a year-over-year basis. As a result of the $20.00 second bag fee we announce today and improved even more leg room outlook and other fee increases that we have implemented we now expect other revenues to increase roughly 95% on a year-over-year basis.  Moving onto CASM we expect CASM expense on the second quarter to be up 6% to 8% and up 6% to 8% for the full year. These increases will be driven mainly by the impact of capacity reductions in the second half of the year which will continue to pressure our unit cost. Nonetheless we believe that there is still opportunity for improvement on the cost side. For the second quarter we expect CASM being increased 22% to 24%. This year-over-year increase is driven mainly by the increases and price for fuel which we expect to be up about 55% over second quarter of 2007. For the full year we project CASM will increase 20% to 22%. With regard to fuel of our CASM guides assumes an estimated average fuel per gallon of 309 in the second quarter and 305 for the full year. We are heads roughly 45% in Q2 in about 35% for the reminder of the year. More specific details regarding our edging program will be available on 8K filed later today. Finally moving on to CapEx. We have reduced our non-aircraft capital expenditures for the full year of 2008 from $175 million to $150 million. Well, we are very conscious that of the need for tight cost controls. We are also committed even in this challenging environment to making investments to drive revenue or improve productivity such has Live TV capital requirements and our new terminal at JFK. Enclosing, although we continue to operate in an environment of record high fuel prices and a weakening economy, we believe we have the right long term strategy. We expect the fuel environment will continue to present a significant challenge for us and the industry, therefore we are managing our business very prudently. We know from our experience in the last economic down turn that if we can’t continue to invest in our business while maintaining tight cost controls we will merge from this challenging environment better able to drive profitability in the long run. While maintaining a conservative stand we also want to position ourselves to be opportunistic. We maintain flexibility with favorable aircraft delivery positions to accelerate our fleet growth and respond to market opportunities as they arise. Our flexible order book of both A320 and E190 is one of the most strategic assets and we intend to continue to take advantage of it. We believe we are well positioned -- we believe we are in a position of strength with a solid cash position, the best brand in the industry, great crew members and a loyal customer base. Well, many serious challenges lie ahead. We are optimistic about the future and with that we are happy to take questions.
Operator: Now we will begin the 30 min question-and-answer session for investors and analysts. We would like to ask everyone to please limit themselves to one or two questions with a brief follow up so that we can accommodate as many as possible. Your first question comes from Mike Linenberg of Merrill Lynch.
Mike Linenberg - Merrill Lynch: Yeah, good morning all. Just a couple of questions on the average fair. I think you had indicated that through the GDS’s you were pleased with the, what -- sort of the revenue that you were seeing. Can you give us a sense of may be how that average fairs to the GDS and compares to your overall average fair?
David Barger : Yeah, it’s usually about $30 higher than an average fair. 
Mike Linenberg - Merrill Lynch: Okay and then my second question regards the Lufthansa agreement Dave. I think you said that you were hopeful that you could get something together by the end of 2008 and I am just curious, there is a lot of room between now and the end of the 2008. Is this partially a function of may be different IT platform different culture or could this also be a possibility of may be the extent of the potentials relationship -- when you are ready to announce should we expect it to be something bigger than may be what you have with air lenders.
David Barger : Yeah Mike thanks. I appreciate the questions. Regarding Lufthansa I think we are just being realistic from the stand point of mainly as we take a look at commercial opportunities how do the technology platforms really work and so we have teams from Lufthansa group as well as Jet Blue that are meeting on a regular basis rotating between Europe and here in the States for meetings, one was held yesterday here in the New York area and so I think it’s just being realistic from the timing perspective. Looking at things, we believe we will look very much like what we are seeing with Aer Lingus. Aer Lingus has not been out there for a long period of time so we are also this continued proof of concept will start to actually start to fly customers here at the end of April what the Aer Lingus agreement and that just I think allows us to have some actual operating history as we move forward with Lufthansa. So I think it could just be more realistic with timing.
Mike Linenberg - Merrill Lynch: Okay and then just one last one on your terminal 5. I mean we sort of watched DA move to their T5 and it looks like significant cost and disruption, sort of what are you doing and should we anticipate that there will be some onetime costs associated with the move. I mean when I say onetime, sizable onetime cost as you move into the new terminal and potentially experienced deeding problems etc?
David Barger : Yeah Mike, thanks for the question. All the additional cost of moving into T5 or in our CASM guidance that we issued today. We are going to go through obviously immense testing of our systems and of our operations as we transition wanting to learn from what happened with the other T5 so we are pretty confident that we have the cost in our guidance that we will incur.
Ed Barnes : In fact Mike its -- we have baggage going through the system on a test basis right now. We are pressuring the terminal. It’s -- we want to make sure that we do make the cut that it’s as seamless as possible. Any time you make a transition there is going to be some unexpected situations that come up. At the same team that is really driving the construction bringing it in early on budget very much involved with Continental Global gateway of project over a newer successful opening and lessons learned whether its Denver or whether its London to make sure that we don’t repeat it here.
Mike Linenberg - Merrill Lynch: Okay very good thank you.
David Barger : Thanks Mike
Operator: Thank you your next question comes from Jamie Baker of JP Morgan.
Jamie Baker - JP Morgan: Yeah good morning everybody. Thanks for the whole bag of detail that you gave. I didn’t catch if you indicated whether there was a material adverse change clause in the processing agreement nor when the agreement was up for renegotiation?
David Barger : Yeah Jami, we haven’t disclosed any of the details regarding our processing agreement and at the request of the processors we won’t discuss that.
Jamie Baker - JP Morgan: Okay, I have a quick follow up. Are proceeds from the planned aircraft sales this year in the guidance?
David Barger : Yes they are.
Jamie Baker - JP Morgan: Any rough approximation? 
David Barger : The cash proceeds from our aircraft sales? Yeah we guided to -- we were going to generate $300 million in cash and with the repayment of debt of $200 million it was going to result in a net $100 million cash gain.
Jamie Baker - JP Morgan: Okay thanks a lot.
David Barger : Yeah thanks Jamie.
Operator: Thank your next question comes from Ray Neidl of Calyon Securities.
Ray Neidl - Calyon Securities: Yes, regarding your partnerships if you wanted to join worldwide partnership one of the three main worldwide partnership, I don’t know if you would want to join them or not but if you did are there limitations in the technology that you are putting in place for Lufthansa and Aer Lingus or will that technology allow you to do other partnerships.
David Barger : Ray it’s -- we have Cape Air, Aer Lingus and now obviously we are working with the Lufthansa group on a partnership and so there is a lot of lessons learning with Cape Air and Aer Lingus from an IT perspective and so from a standpoint of joining more of the three global alliances, we haven’t had discussions internally regarding that as a strategic next step for us and so I think that we are very pleased with everything its on our plane right now with the Lufthansa group to make sure that that cut over is very seamless. It’s not just New York with Lufthansa. They and Swiss and I mean they operate to 17 locations here in the United States and 22 in North America. So, there is lot’s of opportunities whether it’s Boston, Orlando or New York so plenty on our plate right now.
Ray Neidl - Calyon Securities: Okay and as it appears we are about to head into a major restructuring of the US airline industry between mergers and liquidations and bankruptcies and so forth. There is going to be loose assets probably becoming available. What would Jet Blues interests be in – potential interests be in some of these assets.
David Barger : Ray, it’s a -- I think number one. We want to ensure that we have a strong balance sheet and that we are really preserving the liquidity, so that to the extent that opportunities are available whether it’s gates, whether it’s slots in key airports that are of interest to us that we will be able to move forward; I am bidding for something like that and so it’s that loss on us at all regarding the MNA activity that’s in the news, whether it’s announced or rumored, our goal is still one of growing organically and with our partners if you will as previously discussed but you bet we want to make sure that if something like that materializes on the landscape we can bid for it.
Ray Neidl - Calyon Securities: Good, thank you very much.
David Barger : Thanks Ray.
Ed Barnes : Thanks Ray.
Operator: Thank you. Your next question comes from William Green of Morgan Stanley.
John - Morgan Stanley : Hi, this is actually John filling in for Bill. I set a couple of questions here. First of all over the past few years you have been able to offset some your exterior inflation with a lot of employee productivity initiative and you have made a lot of progress on FTE’s per aircraft. As you sole capacity is our improvement on FTE’s per aircraft possible or should we think about that as something that might increase your view in ’08.
David Barger : John, I think certainly it’s possible but obviously as you slow the growth that is harder to reduce costs, but I think it’s safe to say that as Dave indicated. We currently have a higher increase in place for really our corporate positions and we will be responsible with regard to FTE’s going forward. So there will be a lot of pressure on head count as we move forward.
John - Morgan Stanley : Great, and just aside from selling aircraft and potential strategic alternatives for live TV. Do you have any additional assets that we might not be thinking about that you might consider monetizing in the future?
David Barger : I wouldn’t say we have any material assets that we are considering on monetizing at this point of time, but certainly we have other opportunities to obtain liquidity.
John - Morgan Stanley : Now for the temporary facilities that you have at JFK is that something that is monetizable once the new terminal is finalized?
David Barger : I don’t believe so. I mean those are really temporary facilities that we’ve have built at JFK, so we will probably reconstruct those and as we move into the new terminal.
John - Morgan Stanley : Great thanks a lot.
Operator: Thank you. Your next question comes from Gary Chase of Lehman Brother.
Dave Simpson - Lehman Brother: Good morning guys it’s Dave Simpson from Lehman; a couple of quick questions here. On the March horizon, do you guys have any sense of how much revenue shifted into March from April as a result of the earlier holiday? Any help how we should think about that?
David Barger : Yeah, its -- thanks Dave. Certainly we had the benefit of Easter shifting into the left but we really take a look at probably a 25 to 4% gain if you will as a result of Easter falling in the first quarter.
Dave Simpson - Lehman Brother: Great, and the fourth quarter capacity decline, just is that principally -- are you thinking that principally a utilization sort of dialing back some of the red eyes etc or do you think there is opportunities to make some changes to the network in terms of route and foot print etc. What kind of changes can we expect there?
David Barger : Yeah, I think while I will tell you from a network prospective, we are obviously evaluating every station that we are flying to and whether it’s been around for period of time or whether its relatively new because the cost of energy totally changes if you will the route P&L, so we are evaluating that. So, potentially depending on what happens with oil as well as the landscape you bet we could adjust that as we move into the second semester this year. I think I would like you think of actually this negative growth if you will in the fourth quarter as really getting better at managing some of the trout periods and so that stay of week that could be some of the red eye markets that we are flying to and by the way that could be in Transcon markets, it could be a day or week on some of the short haul markets as well or even a day of weekend into the Florida markets or Caribbean and so just getting smarter about what kind of demand are we seeing over the course of seven days and be much more surgical if you will putting that capacity out there and so that’s the net of what we are seeing in right now into the fourth quarter.
Dave Simpson - Lehman Brother: Great and then just last; I think you mentioned this but I may have missed it. The change in 2008, the fuel CASM guidance, is that a function of the capacity outlook changing or there is some other things changing within that guidance?
David Barger : No, definitely in the near term it’s pretty much all capacity related.
Dave Simpson - Lehman Brother: Okay great, thanks guys.
David Barger : Thanks Dave.
Operator : Thank you your next question comes from Frank Boroch of Bear Stearns.
Frank Boroch - Bear Stearns: Maybe Ed you could give us some color around the Transcon markets and then just more generically may be just looking back at the first quarter where you were seeing more support of the fair environment from legacy competitors or fellow low cost airlines?
David Barger : Yeah -- good morning Frank. Just little bit of color on Transcon markets. It’s -- we continue to see it as a percent of our ASMs; they are declining and in fact in the first quarter just under 40% of our ASMs were on the Transcon markets and that’s down really over the course of the last year, year and half that was north of 50% of our ASMs into the Transcon markets. So, when we take a look at the RASAM, the PRASM, year-over-year improvements that we saw in the first quarter generally speaking it was really strong across the system whether it was short haul or longer haul or into the Transcon markets as well. Is there impact of energy on the Transcons more so? You bet, or new entrance competitors in the Transcons you bet as we talked about in the past, so just a little color on both the network as well as Transcons.
Frank Boroch - Bear Stearns: Okay, great and I guess as you think about fleet flexibility is there one type of aircraft that you think you have more flexibility to push back or you are more inclined to make changes with to the other? 
David Barger : Well, I think that we would consider both group types and anything that we do to pull down capacity; traditionally we have UBA 320 as well as the pro’s with both the A320 and E190 to cut it down and our capacity increases but moving forward will just -- we will be looking at both markets and where we see strength and one versus the other that’s probably where we would head.
Ed Barnes : And think if I may just a little bit more I mean adding on to that topic. The ability to have the 320 and the 190 and the fleet and the flexibility that it provides us from a stand point of building the network or just into the seasonality of the network really important couple of examples. Some of the significant amount of what we call flyovers that routes such as below into then Portland down to Orlando or up state New York, Buffalo down into Fort Meyers as an example why planes to Fort Meyers? All examples of 190 flying and it’s a really nice tool to open up a new market next to that and cities where we have relevance today and then seasonally adjust into bigger appliances necessary such as places like Buffalo, Orlando this is the first time we have flown to right down South, but we did that with an A320. So, it’s the ability to go into a place like Austin Texas and to do that with the 190 and to balance it with the 320 really important 204’s.
Frank Boroch - Bear Stearns: Could you use some of the 190s to help Davis Neelemans new adventure in Brazil to get off the ground sooner?
David Barger : Frank, I think he is actually already has obligations remember with the 195 family of aero plans to support his growth plans. It’s a -- and we had previously slowed down our 190 orders in the course of 2008 as well, so I think Dave is all set for -- I haven’t heard an announcement Dave but we are wishing them well.
Frank Boroch - Bear Stearns: Great thank you.
David Barger : Thank you.
Operator: Thank you your next question comes from Kevin Crissey of UBS.
Kevin Crissey - UBS: What fuel price would have you reconsidered the free TV. I mean I think it comes in our planes they charge for the TV or it’s my assumption. Why not just charge for a TV? It seems like a easy way to generate cash.
David Barger : Kevin, we -- I’ll tell you. We debate that and it’s part of the brand since day one has really been free TV?(Inaudible) a free TV is the same sentence if you will and we also know that fuel in our environment was $0.60 per gallon and so but if they are a large part of the brand. With that sad it’s a -- there is no doubt but we know that there is opportunities if you will to drive ancillary revenues through charging for the TV, but we also know that we have -- we believe embedded in our average fare dollars as a result of the TV already being baked into our products and so we look at this more of a with TV, with radio. We have some -- we have the Premium Entertainment options on board the aero plan as well. As we work with live TV at some point with new operating, nothing like if you are at home, you have a basic package and why can’t you upgrade to something where it might be a more of a paper view type of a package. That’s the kind of options that we have with the Live TV groups, so I think my last thought, everything is on the table as we take a look at liquidity as we take a look at this environment which is unprecedented including things such as offering Live TV.
Kevin Crissey - UBS: Do you, when you -- thank you. When you are thinking about Live TV and offering it to Continental, what were the competitive -- it seems like that would be somewhat of a cannibalism of your advantage on the east coast. What were your thoughts and concerns when you looked selling it to Continental?
David Barger : Yeah I think it’s a -- we are looking at that as really at some point when the dust settles if you will, a little bit of a new normal on the landscape it’s going to be the cost of entry in the domestic landscape and so you should take a look at -- we used the example on the past business class internationally if you don’t have large flight, you really not considered competitive as you try and fly across the world markets, the long haul markets and so we saw this with Delta respectively with a strong unit and it was pretty obvious that there were work arounds that were available other options if you’ll and so if this is really going to be the new normal where everybody is going to have it at some point then I don’t know is it five years down the road, ten years down the road. It certainly makes sense to have a piece of that business as we are moving forward into the future. LiveTV -- we really think -- I mean the LiveTV group with where the leadership team. Nate Quigley, our CEO; Glen Lara, John Frisco, the founders down there. It’s not just TVs and it’s not just radios; It’s things like it’s an awful lot of information that goes to the airplane as cash less cabin, it’s cabin surveillance, it’s the ability to take a look at wireless at altitude as well so we think there is a nice business model there that we can participate in.
Kevin Crissey - UBS: Thanks very much.
David Barger : You got it, thanks.
Operator: Thank you. Your next question comes from Jim Parker of Raymond James.
Jim Parker - Raymond James: Good morning guys. Just pursuing LiveTV a bit further; you mentioned that you are considering strategic alternatives and that must mean value for shareholders and cash for the company. Can you give us some idea as to the revenue and earnings or value to the shareholders to the company that might come from the disposition of LiveTV ?
David Barger : Jim, its really premature. I mean we have always incorporated the LiveTV numbers into the airline numbers as well but it’s -- what we have seen over the almost six years with the purchase of LiveTV as a wholly owned subsidiary, just a tremendous growth in the business and not just for outfitting our airline but airlines such as the Continental announcement or could be Virgin Blue or Air One, I mean different parts of the world as well. So not prepared right now to provide further transparency on the numbers Jim, respectfully.
Jim Parker - Raymond James:  All right, a question for Ed, at what price of oil and crack spread are you burning cash from operations, ex your aircraft sales, what price level are you burning cash?
Ed Barnes: Yeah, Jim, I don’t think that we have a definitive number on that. I mean obviously there is lot of factors that you would have to consider such as competitor’s response, what’s happening in the general economy, but I think everyone in the marketplace right now is burdened with the same fuel and so we don’t feel like we are necessarily at a competitive disadvantage but we are mindful of the need to cover that cost.
Jim Parker - Raymond James: Okay, thanks.
Ed Barnes: Yep.
Operator: Thank you. Your next question comes from Dan McKenzie of Credit Suisse.
Dan McKenzie - Credit Suisse: Hi, good morning, thanks. I just wonder if you can provide some perspective about the progress of Orlando and -- I guess at this point wondering if the level of commitment might change in light of the fuel environment or the competitive dynamics.
David Barger : Yean, Dan, good morning. Orlando was announced as our seventh focus city and so from that commitment and growing Orlando. Recently we opened international service down to Cancun as well as Santo Domingo. I believe March was actually the first full month of operation from the stand point of our numbers and so that commitment is continuing as we’re working with Greater Orlando airport authority, gate relocation as well additional gates. We think that Orlando makes a great deal of sense based on what we have seen in our numbers over the year is to continue to grow both domestically and internationally. Dan there is also, we have Aer Lingus, it’s newest city in North America is Orlando. Lufthansa’s newest city in North America is Orlando and so as we take a look at tentative approval to fly in South America with (inaudible) the ability to take a look at those type of opportunities, not just for our route system but to also partner with these other carriers, you bet that makes sense for us. Now all that said, we have a training centre down there and we have a goal to try and at the same time with the Jet Blue large down there how are crew remembers that are in training and sometimes more cost effective if you will then placing them in disparate hotels in the Orlando area, so that’s an example of something that we are evaluating right now -- is there other better options if you will from the standpoint of financing that growth. But our commitment to Orlando remains advanced.
Dan McKenzie - Credit Suisse: Okay, thanks. And you may have answered this previously indirectly but with respect to other ancillary revenue opportunities on the EML initiative, I was just wondering how willing you would be to be a little more aggressive with pricing. I believe right now you’re charging $20 for a 38 inches of seat pitch at transcon?
David Barger : Yeah. I think of that as -- we want to get some visibility and some trial, not that you don’t get trial when you have pretty close to 80% load factor but the acceptance that we have seen with EML on short, medium, and long haul really bode really well for us to respectfully if you will adjust that price point. The feedback has been really well received and both by our customers and our crew members and people say “hey listen I don’t have a problem at all paying after that service” and that is our philosophy. Here’s the Jet Blue experience. If we are trying to charge you for something that’s for a very small population that are doing it like second bag or if you want an additional service such as say refundable fares after that out there in the marketplace or EML.
Dan McKenzie - Credit Suisse : Okay, good. Thanks a lot.
David Barger : You got it. Thanks Dan.
Operator: Thank you. Your next question comes from Bob McAdoo of Avondale Partners.
Bob McAdoo - Avondale Partners: Hi just a quick one on the fares year-over-year, you were up $25 or 22% or something like that. Can you break that out as to how much of that might have come from the shift of Easter back into the quarter versus the fact that a lot of -- your fares might have been depressed extremely because of the ice storm of prior year and versus just of kind of other changes. How would you slice that?
David Barger : Bob, we don’t necessarily look at that way. We know that we saw a 2% to 4 % year-over-year PRASM growth in Q1 ’08 over ‘08 because of the holiday. Maybe another way to look at it as remember, we presented in the fourth quarter was approximately $130 average fare which is now over $135 average fare across the system, so to exactly put a number to it it’s unnecessarily the way we looked at it, it was more year-over-year PRASM growth.
Bob McAdoo - Avondale Partners: Maybe ask you another way. How much did the ice storm last year depress your average fare? Did you get a sense of that? I mean a bunch of free tickets that you gave out afterwards, I am trying to figure out --
David Barger : I think probably the March over March performance which I have the opening comments and just to reflect upon is we ended up with a 13% year-over-year increase in PRASM, so without we are more stable if you will from the stand point of March, a normal schedule as opposed to what happened in the February timeframe and that’s without the benefit of holiday and then this March our average fair was the highest we’ve ever had at a $138.00. So in the average fair Bob, we can certainly get it for you in terms of what we saw a year ago February and it was certainly depressed but I think it was more a reflection of just fights we didn’t fly as opposed to what kind of fairs.
Bob McAdoo - Avondale Partners: Okay and this $25.00, 22% increase is just so much more than anybody else. I am just kind of curious as to where it was coming from. How do -- was it particular routes or what -- how do you -- it just seems so much -- your performance is superior to other people. I an just trying to get a sense of maybe how you did it.
David Barger : Yeah, I know, I appreciate that Bob and its -- I’ll tell you. I think that as we have taken a look at a lot of difference pieces of the fair structure and the group is running the different revenue initiatives and our Vice President of Revenue Management, Rex who has now been here for a couple of years and Rex benefit into our organization of looking at what’s the low fair, what’s the high fair in the market, the ability to adjust the top end with significant periods of demands such as Easter. It’s -- it wasn’t that long ago where we had an average Transcon fair of 299 and that went in the 500’s and add another 300 bucks almost to that. So, I really credit recon the team taking a much more surgical look at what’s out there, plus Bob we just don’t have as many markets that are maturing from the stand point of new markets. Right now on a year-over-year basis what use to be 24% of our ASM’s in new markets is 10%, that’s a big benefit.
Bob McAdoo - Avondale Partners: That’s a real deal, yeah. Alright cool thanks.
David Barger : Thanks Bob.
Operator: Thank you your next question comes from Bill Master of Broad Point Capital. 
Bill Master - Broad Point Capital: Thank you. Ed were any of our aircraft sales -- did they affect any of the WETC’s that you currently have outstanding?
David Barger : No, not right now.
Bill Master - Broad Point Capital: Okay, you’ve talk extensively about kind of your liquidity parameters that you like to maintain 25% of LTM sales, what about a leverage target. Where do you want to be comfortably in this type of environment? And I’m also -- please include off balance sheet aircraft leases. 
David Barger : Yeah, I’m not necessarily sure that we have a target. I mean obviously we’d like to less leverage in this environment. We’d like to maintain a lot of liquidity and a high cash balance, but I don’t think I could provide you with the target.
Bill Master - Broad Point Capital: Okay and then finally I assume that your 3.5 is right on the plan to take it out with cash the ones that are probably going to be put in July. Those are included in your current maturities, do I have that correct?
David Barger : That’s correct.
Bill Master - Broad Point Capital: Okay thank you.
David Barger : You bet.
Operator: Thank you. This concludes our session with investors and analysts. With that we will turn it over to Dave Barger for closing remarks.
David Barger : Thank you so much Natasha. Just in closing, briefly I’d like to thank our crew members for their support and also at this time I think it’s very important to say a thank you to David Neeleman our founder and we wish him all the best with his new airline venture down in Brazil and wholeheartedly thank him for creating Jet Blue. I think it’s a very appropriate message just as we close this call. Thank you operator, thank you everybody for dialing in. Have a good day.
Operator: Thank you. This concludes today’s conference call. You may now disconnect.